Operator: Welcome to the Subsea 7 Third Quarter 2014 Results Conference Call. (Operator Instructions). I will now hand you over to our moderator for today, Keith Russell, Investor Relations Director of Subsea 7.
Keith Russell: Thank you, Jerry. Welcome everyone to this conference call and webcast covering our results for the third quarter and indeed the first nine months of 2014. Here on the call with me are Jean Cahuzac, our Chief Executive Officer, our CFO, Ricardo Rosa and also John Evans, our Chief Operating Officer. The full press release containing the results can be found in the Investor Relations section of our corporate website along with the presentation slides that we will be referring to on today's call. We will be following our usual format today for a quarterly earnings call. Jean and Ricardo have prepared remarks that will be supported by the presentation following which they and John Evans will be pleased to answer your questions. In any interest of fairness, we ask again that questioners please limit themselves to two questions each at least in the first round to allow everyone an opportunity to ask questions. Before we start the presentation, I just need to draw your attention to slide number 2 in the webcast and in the presentation deck which is a disclaimer covering forward-looking statements in the context of this presentation. So with that introduction I turn the microphone over to Jean.
Jean Cahuzac: Good afternoon to everybody. I will start by summarizing the main elements of our third quarter 2014 performance before handing over to Ricardo, who will cover the financials in more detail. I will then conclude with some observation of the market and the outlook for our business for the balance of the year and for 2015. Let's look first at the highlights for the quarter on slide 3, the third quarter was a strong quarter both operationally and financially for Subsea 7. Group revenue was $1.9 billion, an increase of 22% from the prior year quarter with each territory increasing effectively. And adjusted EBITDA margin of 22% was achieved owing to the high activity level and good overall execution. Diluted earnings per share at $0.57 represent a 36% increase from the prior year of third quarter. Cash flow from operation was also strong in the quarter. Moving now to operations, I'm very pleased to report continuing good execution across our project portfolio. In West Africa, the Block 31 GES and CLOV projects were substantially completed in the third quarter while good progress was also made on the Ofon 2, Erha North, TEN and Lianzi projects. In Mexico, the Line 60 project was completed and Line 67 is nearly completion while in the U.S. Gulf of Mexico the Cardona and Heidelberg projects advanced well In APME, Gorgon HLTI in Australia and G1 in India were again the main contributors to revenue. In Brazil, the financial turnaround is now firmly in place supported by good execution. The final stages of the execution on the Guará Lula NE project continued to go well with 22 of the 27 riser successfully installed by the end of Q3. Today three more risers are in place with two remaining to go. This effective execution and derisking of the project which is on track for the riser installation to be completed by year-end, although to reduce the estimated full life project loss provision by about 40 million in the third quarter. Our PLSV Fleet in Brazil also performed well with high levels of utilization achieved and the first full quarter of operation at Seven Waves has been very successful. In the North Sea and Canada, a number of projects were substantially completed, including Delta S2 in Norway, the West Franklin and DONG Caisson repair project in the UK and Danish sectors and Suncor Phase 4 offshore Canada. Our Life-of-Field activity had another good quarter based on the strong demand for our services in the North Sea particularly in the UK. Global vessel utilization was high in Q3 at 91%, which was a clear increase from the 86% level achieved in the third quarter of 2013. Turning to side 4, which provides further detail on our order intake and backlog. We ended the Q3 with another backlog of $4 billion after taking an account of negative $300 million foreign exchange impact on the order book. Actual order intake for the third quarter was about $400 million, before ForEx exchange impacts. This included contracts below $50 million in value and escalation on existing contracts, in addition to the announced Baobab Phase 3 contract in the Ivory Coast. The low level of order intakes reflect the slowdown in the pace of awards in the SURF business overall and a postponement of a number of major project awards on which we had tender. There was also a lower level with correction on existing contracts compared to the high levels realized in the first two quarters of the year. During the quarter a number of large project rewards for which we believe we were very well positioned were postponed by the operators. This is of course disappointing but I remain confident in our ability to take a good share of the available market going forward. We continue to get very positive messages from our clients who rely on our ability to deliver the project safely and efficiently. When I speak about market condition later on the call I will mention several large SURF projects which we believe have a good chance of being awarded to the market over the next quarter. With that brief summary I shall pass you to Ricardo, who will talk you through the numbers in more details.
Ricardo Rosa: Thank you, Jean. Good afternoon everyone. Jean gave you an overview of the quarter and I will now provide more detail on the consolidated income statement and the territories operating results for the third quarter of 2014, then comment on cash flow for the first nine months of the year. Let's first look at highlights of the income statement on slide 5, third quarter revenue of 1.9 billion was 22% above that recorded in the same quarter of 2013. Compared to the prior year period activity levels were higher in all four territories. Third quarter net operating income was 324 million which was up 20% on the third quarter of 2013. After deducting net finance cost of 2 million and other losses of $34 million, income before taxes was 288 million which was nearly 32% higher than the $219 million achieved in the third quarter of 2013. The $83 million tax charge for the quarter was equivalent to an effective tax rate of 29% which was slightly above our revised guidance for the full year. Net income for the quarter was $206 million resulting in diluted earnings per share of $0.57. I will now turn to slide 6, and the territories operational performance in Q3. Africa, Gulf of Mexico, and Mediterranean had revenues of $624 million for the quarter which was a 7% increase from a year earlier. Net operating income at $83 million gave rise to a net operating margin of 13.3% compared to 16% in the third quarter of 2013. The reduction in the territories margin resulted mainly from the timing of the Lianzi and Erha projects in West Africa which we’re executing the early stages of their off shore phases during the quarter. Asia Pacific and Middle East delivered revenue of $246 million; an increase of $173 million on the prior-year quarter, owing largely to the continued execution offshore of the heavy lift and tie-ins project on the Gorgon field in Australia, on which we recognized 100% of project revenue and SapuraAcergy, our joint venture, acts as a subcontractor. Other contributors to revenue where the Bayu Undan and Ningaloo projects offshore Australia and the G1 project offshore India. Net operating income was $35 million, up from $30 million in the prior year third quarter. The decline in margin was caused mainly by lower level of contribution from Sapura ACG joint venture which was executing the Gumusut-Kakap project in Malaysia during the third quarter of 2013 and from the relatively low margin recognition on the Gorgon HLTI project while we finalize negotiations with the client, convert some elements of the project from a lump sum to a profited reimbursable basis. In Brazil, revenue increased moderately in the third quarter to $249 million from $233 million in the third quarter of 2013. Our fleet at PLSV's had high levels of utilization during the quarter and the offshore phase of the Guará Lula North East project continued to progress well. The territory recorded net operating income of $88 million which included a reduction of approximately $40 million in the full life project loss previously recognized on the Guará Lula project. This compares favorably with a net operating income of $10 million reported in the third quarter of 2013. Good execution of the riser installation program on the Guará Lula project with 22 of 27 risers successfully installed by the end of Q3, significantly derisk the project and allowed us to further reduce the estimated full life project plan. The North Sea and Canada territory generated revenue of $784 million, an increase of $114 million from the prior period while net operating income amounted to $109 million which was $2 million lower than third quarter of 2013. This increase in revenue compared to the third quarter of 2013 was primarily due to high levels of SURF and Life-of-Field activity with good progression of projects offshore and high vessel utilization. Vessel utilization in the territory reached 93% in the quarter up from 92% in the same period last year. Net operating income in the North Sea and Canada was adversely impacted by a $11 million provision relating to lease cost on the building we recently vacated in Norway with the objective of producing future administration expenses. Lastly the corporate segment has net operating income of $10 million compared to $24 million in the previous year period. The decline was primarily due to reduced contribution from the Seaway Heavy Lifting joint venture, caused mainly by lower renewables activity in the period. Slide 7 provides supplementary details on the income statement some of which I’ve already commented on. The contribution from joint ventures is down materially from the year before due mainly to the reduced profitability of Sapura ACG and Seaway Heavy Lifting. Net finance cost were down $10 million on the prior year period due mainly to the maturing of the $500 million convertible notes in October 2013 and a higher amount of capitalized interest due to the relative stage of completion of the five vessels under construction. Other losses of $34 million primarily reflected net foreign exchange losses totaling $35 million incurred in the quarter following the strengthening of the U.S. dollar against the Norwegian Krone, the British Pound and the Brazilian Real. I now turn to slide 8, which provides an overview of cash flow over the first nine months of 2014. Net cash generated from operating activities totaled $1.70 billion in the first nine months of 2014. The decrease in net operating assets of a 170 million in the same period making a significant contribution. We continue to focus on working capital discipline and have been improved on client receivables profile in most of our territories. Net cash used in investing activities amounted to 600 million which included $635 million of capital expenditure largely on the construction of the remaining five vessels in our new-build vessel program. Net cash used in financing activities was $410 million which included the cash dividend of $195 million paid in July. A $122 million spent repurchasing shares during the first nine months of the year and the repurchase at par of $79 million on the 2014 convertible bonds ahead of their maturity in October of this year. As reflected on the summary of balance sheet on slide 9, we ended the quarter with a cash and cash equivalents balance of $662 million. A slight increase of $12 million since the start of 2014. Total borrowings at the end of September stood at $844 million, a decrease of $67 million from the start of the year owning to the cancellation of cancellation of convertible bonds repurchased in the third quarter offset by accretion on the convertible bonds still outstanding. Moving on to slide 10, we reaffirmed our financial guidance for the full year 2014 with respect to group revenue and adjusted EBITDA. We expect group revenue to increase from the level achieved in 2013 while adjusted EBITDA is anticipated to increase moderately from the 2013 level of $1.336 billion after adjusting for the $355 million, Guará-Lula loss provision recognized in that year. Owning to the rephasing of capital expenditures particularly on the new vessel program we have refined our full year CapEx guidance to between 950 million and the $1 billion for the year. We have also tightened the ranges for our estimated capital expenditures for the different asset categories as you can see on the slide. Similarly we have refined the full year 2014 guidance to the other net income related categories and reduce the full year effective tax rate guidance to between 26% and 28%. We continue to return cash to shareholders. Through 30th of September this year, we have spent a $122 million to repurchase approximately 12.5 million shares on a two successive $200 million share repurchase program, the first of which was completed in the course of July with a purchase of 1 million, 300,000 shares. On the 31st of July, our Board subsequently authorized a new $200 million share repurchase program that is currently being executed and under which we acquired 400,000 shares in the quarter. We’re also taking steps to reduce potential dilution to shareholders, during the quarter we repurchased and cancelled $79 million of the $275 million 2014 convertible bonds thus reducing the amounts available for conversion when the bonds matured on the 13th of October of this year. In addition, we have repurchased $46 million of the $700 million 2017 convertible bonds at prevailing market values, the repurchases offered an attractive yield to maturity and that will have an positive impact on diluted earnings per share going forward. We view these measures as an effective complement to our share repurchase program. Lastly we have called an Extraordinary General Meeting to be held later this month at which among other matters we seek approval from shareholders for the cancellation of some 19.600 million shares which the company currently holds in treasury. On the financing side, during the quarter we put in place a new five year revolving credit and guarantee facility taking $500 million on favorable terms. This provides us with cost effective source of liquidity and has allowed us to cancel the pre-existing facilities which has given us access to $400 million of liquidity on a revolving credit basis. On slide 11, we had provided an update of the actual debate and future expected capital expenditure relating to the vessel new build program. I'm pleased to reiterate this program continues to be executed in-line with our cost and timing expectation. Details of the six vessels can be seen on slide 12. The Seven Waves successfully completed her first full quarter of operation results and the target for the remaining five vessel to start operations remain unchanged. I will now pass you back to Jean to comment further on the market and our outlook.
Jean Cahuzac: Thank you, Ricardo. Let's turn now to slide 13, the uncertainty of well the timing market awards on SURF project that we have been speaking about all year continued in the third quarter. The oil price weakness that we experienced throughout the third quarter add to the uncertainty. A number of major potential awards that we had expected to be awarded to the market in Q3 were postpone including – Gehem-Gendalo in Indonesia and the Martin Linge project in Norway. However standard activity remains high in Africa, the Gulf of Mexico, the Mediterranean Sea and Asia. Uncertainty on timing of projects awards however remain. The demand for Life-of-Field remain strong in the UK sector of the North Sea and we expect this high level of demand to continue in 2015. In our conventional business offshore Nigeria, local authorities seems to be making progress to resolve financing issues for new projects and tendering activity is increasing. I would like now to offer a bit more detail on the outlook by territory for the forthcoming 6 to 12 months. Let's turn to slide 14, firstly Africa and the Gulf of Mexico. In Western East Africa, tendering for such activity continued at the high level as it has been throughout this year. However as we have said before the timing of awards for some project is uncertain particularly in West and East Africa. We believe however that there is a good chance that the following projects may be awarded to market over the next 12 months. West Nile Delta in Egypt, Bonga SouthWest in Nigeria, Zinia Phase 2 and Chissonga in Angola. We have recently experienced pick-up in tendering activity confirmed for conventional project offshore Nigeria as I’ve mentioned before. In particular of the Satellite Field Phase 2 project is the another large project that maybe awarded to market in the first half of 2015. We also expect a number of small to medium sized SURF project in the U.S. Gulf of Mexico to be awarded to the market over the next several months as activity levels among different operators is increasing. In APME, on slide 15, we see emerging deep water prospect in Asia with potential market award of last postponed into 2015. This includes projects such as Gehem-Gendalo in Indonesia and the KG-D6 and Vashista in India. High development and operating cost in Australia continue to dampen the willingness of operators to commit to new CapEx project there. However there is some tendering activity on potential Life-of-Field contract in this country. Turning to slide 16, in Brazil our PLSV fleet is operating well with high level utilization and this is expected to continue. All contracts are now renewed on higher day rates and Seven Waves had first full quarters of operation. As mentioned before the Guará-Lula North East project is in its final stages of execution with the riser installation going well and expected to complete in December this year as planned. Full commissioning of all risers will be completed in Q1, 2016 as per our plan scheduled. Brazil is a country where we see good opportunities for the future. As we know Petrobras has planned up to 20 FPSOs to be installed by 2020. This will require the design installation of both flexible and rigid pipe complex systems technology areas where Subsea 7 is recognized as one of the industry leader. We haven't changed our approach regarding the acceptable risk profile that we can accept for this large project but I must say that we’re making good progress in discussion with Petrobras around a new risk sharing model. I'm now confident that a solution acceptable to both party should be achieved. Let's turn to slide 17, in the North Sea and Canada a number of SURF project we had expected to be awarded to the market in Q3 have been postponed. We do expect the Maria project to be awarded to market in the first half of 2015 however. As is well known, Statoil will not be awarding any large SURF contracts until the second half of 2015 at the earliest. Otherwise, there is a limited number of SURF opportunities in the UK sector and offshore Canada that we intend to pursue. Meanwhile demand for Life-of-Field services continues to be strong as evident by heavy vessel utilization in the territory in Q3. We see no reason why this high level of activity will not continue in 2015. While we’re cautious on the near term outlook for this territory we should bear in mind that the longer term prospects remain good particularly for development in the harsher climates of Norway and Canada. Turning to slide 18, I would like to provide you with some tangible examples of leading technology we’re employing on major projects. It's clearly a differentiator for us. We’re proud of track record in utilizing advance technology solution developed by us to help our clients achieve more cost effective projects. As mentioned we’re currently completing the Guará-Lula projects while we’re installing the last steel catenary risers. This risers include first installation of Bubi mechanically line pipe. But that doesn’t stop there, we’re also going to be installing this pipe on the complex Aasta Hansteen development in Norway in 2015. In both of these examples, the installation of the pipeline and riser utilizing this technology has been a key driver in the commercial viability of the developments. We continue to work in collaboration with BUTTING to further develop this pipe for reel installation, including high-strength steel options for ultra-deep water and higher pressure applications. In addition to the increasing demand for corrosion resistant pipelines the more significant technology requirement for the development of the complex reservoir and contract today is a requirement of high performance pipe in pipe solution. This includes the requirement to hit [ph] the product and our efficient electrically heated trace flow line technology offers one of the most efficient pipeline system, we’re offering this technology on a last project we’re tendering in West Africa and really believe that this technology is key for the commercial viability of the project. Our bundled technology continues to be in high demand and we have installed three bundles in the North Sea so far in 2014 with seven more bundles to be installed by mid of 2016. I think altogether it will be about 78 bundles installed. In particular we can't see this technology being particularly suited to the growth in demand for Subsea processing where the two heads can accommodate the increased hardware associated with processing on the Seabed. A number of our clients who have experienced successfully a bundles are asking if we can apply the technology in certain other geographies which we’re exploring and of course bodes well for the future as this unique offering and our Seaway Heavy Lifting joint venture installed the largest float-over wind-farm topside substation in 2014 which is an example of technology developing in the oil and gas industry being successfully applied to the renewable energy sector by our associates and our partners with SHL. I move now to slide 19, our sectors [ph] market is facing uncertainty. But we’re well positioned to face these uncertainties as we’re proactively adapting to the new paradigm and continue to focus on both short term and long term priorities. First we’re one of the few companies which can help our clients to achieve their objective of project cost reduction and to make their field development viable. We continue to demonstrate our ability to execute in a consistent and safe manner, our clients project. We’re making best use of our engineering and procurement expertise by engaging with clients early and working collaboratively with them in any thought to reduce overall field development cost. We’re also utilizing our proprietary technology by offering alternative cost effective solution for our clients as I’ve just described in those examples. We’re committed to adapting our organization cost to activity trends, our Brazil reorganization completed in 2014 allows us to deliver the financial turnaround in this country as planned. But we’re also reviewing other locations worldwide. You’ve seen our recent announcement in Norway where we plan to adjust the size of our organization in-line with the slowdown of activities that we forecast. All this is planned and executed giving full consideration to the need to retain critical expertise for the project that will be functioned in the future. We also continue our fleet rationalization program. Among our own vessel there are some that are reaching the end of their useful life and all this with more generate core limited capabilities. As our remaining new build vessels cum operation model you can see the data on slide 12, we will review the potential sell of certain ships at the appropriate time. Also want to mention that a third of our 40 vessels will operate on a long term charter with third party owners. We’re currently reviewing which of these vessel will no longer be needed and we will consider not renewing charters when they expire. This can have a very meaningful impact on operating lease cost from 2016 onwards. So turning to slide 20 for summary, looking first at 2014. In spite of a more challenging business environment the third quarter was a strong quarter both operationally and functionally for Subsea 7 with good vessel utilization. Overall we continue to deliver our projects very well. Our order intake has declined during the quarter although our clients have continued to delay market award of last projects and certain activity has been slowing down. Nevertheless we have reaffirmed our financial guidance for the full year of 2014. Now regarding 2015, we are in discussion with our clients to understand their views on the impact on the recent drop of the oil price. It's clear that some of that after still assessing this new situation. Uncertainties on timing of project rewards to market will continue during the first quarter of the year in 2015 and in 2015. We note that the market has projected a revenue decline for 57 in 2015, we have a similar view. We have said that our order backlog and execution plans provided some basis for 2015. There are number of factors which gives me confidence to make such a statement. We clearly remain competitive in this challenging environment. This is not only true for large EPIC projects but also for small and middle sized projects. We have a good quality backlog to be executed next year with sold margins, we have a sound material backlog associated with vessels on day rate contract in Brazil and in North Sea which should deliver good financial results in the long term. And we would also continue to adapt to changing market conditions as I’ve described earlier with the focus on reducing operating cost without jeopardizing our competitiveness and readiness to seize opportunities that will come. In conclusion the present challenge that our sector is facing do not diminish our belief that we’re well positioned in the market segment with fundamentals remain very positive. And now Ricardo, John and I will be pleased to answer your questions.
Operator: (Operator Instructions). And our first question comes from the line of Andrew Dobbing of SCB. Please go ahead. Your line is now open.
Andrew Dobbing – SCB: I would like to start with basically on the North Sea if possible, the backlog dropped by almost $900 million in the quarter, I assume that some of that $300 million currency exchange is impacting that region in particular. There is a lot of projects that are kind of approaching completion at the moment. Do you plan to move vessels out of that region during 2015, if that’s the case where do you think they will move to or do you plan to kind of retire vessels or stack vessels or stack vessels while that market slows down. And secondly I know you’ve a lot of focus on '15, as you say 2015 is very well protected by the backlog, good pricing etcetera. Maybe it's sort of a little bit premature to start on that in '16 but I really I guess this slowdown in the market and slowdown in rewards is really going to have more of an impact on '16 and '15 because you don’t have that coverage. You’re willing to say anything about '16 this early? Thanks very much.
Jean Cahuzac: I will start with '16, it's premature to comment on '16. There are a lot of things which can mobilize the direction before we have a good idea on what '16 will be. Regarding '15, I'm going to ask John to answer to your questions on the vessels and our plans.
John Evans: So Andrew, in the North Sea it's actually the other way around we actually have three vessels come in back into the North Sea for next year. The Skandi Acergy returns from Asia Pacific to take some fixed work that we have on in the North Sea. The Navica, having done some work in the Gulf of Mexico, will return for a campaign in the North Sea starting relatively early next year in February/March time. And the Oceans will come out of Africa to also do the Aasta Hansteen work in the North Sea. As Jean mentioned earlier we have a number of vessels on a long term contract there on day rate 365 day type contracts which will continue throughout next year and also the Life-of-Field and maintenance activities we do for our clients, don’t show interest – signup at the moment of changing for North Sea.
Andrew Dobbing – SCB: It's hard to kind of correlate that with such a deep line in the order backlog, is the order backlog of much shorter duration than it typically is in the North Sea?
John Evans: Well it's a combination of the two sides, there has been a currency effect as Ricardo, with the North Sea backlog which again we take on generally in sterling and in nok so there is an effect in there which we flag it up and secondly then as Jean said as we look into '16 and '17 speed at which clients in the North Sea in particularly as John said, Statoil committing to projects at the moment is being delayed.
Jean Cahuzac: Yes that would make a difference between Norway and the UK, I think the decision of Statoil to postpone significant number of that project and put some other project on hold, had without any doubt an impact on order intake for the sector in Q3, An example is the Maria project, for instance, which is not the Statoil project but was connected to a Statoil upside and there was some delays because of that. It's not a Statoil project, it was related to some Statoil decision.
Operator: Thank you. Our next question comes from the line of Mick Pickup of Barclays Capital. Please go ahead. Your line is now open.
Mick Pickup – Barclays Capital: Couple of questions if I may, firstly I think John just to start, can you just run through what you’ve got on the books for the bigger assets next year and what's actually already in the books and where do we think we might have potential issues on utilization? And secondly I know you’ve been busy on the convert [ph] this quarter, the actual repurchase of shares seems to be a bit slow than that would have expected. Are there any terms on that buyback we should be aware of since prohibiting you since the spin off?
Jean Cahuzac: I'm going to ask first John to answer on our bigger assets and then Ricardo will take the convert question.
John Evans: Yes. So Mick on the bigger assets such as the Borealis, she has a very busy season next year She is presently in the states at the moment. She then moves back to work in Africa and she will be finishing the year on Ghana work for Tullow TEN towards the end of the year. So we have reasonable workload for her, similarly with the Oceans. Oceans will complete Guará-Lula going into Lianzi and then go up to Aasta Hansteen. So again we have a reasonable backlog on the big assets there. So and as you can see things like the Skandi Acergy are coming back to do some work that we have under contract in the North Sea with Martin Linge next phase, Aasta Hansteen's phases as well as some of the bundle installation projects that we have coming ahead of next year. We have Talisman work going ahead of bundle work, we also have Dana Western Isles; there's big Bundles to go out next year. So in terms of the very big assets that capture people's eyes we have a reasonable firm workload for those assets. There are some gaps but as we go into '15 we have a reasonable workload for the main machines.
Jean Cahuzac: And Ricardo, on the convert, maybe some comments on our overall approach for share buyback and convert?
Ricardo Rosa: Mick, I think I’ve already made some initial comments about strategy there with regarding to shares and bond repurchases but on the shares side, as you know we have in place program that incorporates various safe harbor constraints and guidelines on share price levels. This allows us to repurchase shares without concern for blackout periods but it does not mean that we are constantly in the market buying or buying in big lots and I think you need to look at that share repurchase program in the context of disciplined approach to maintain balance sheet strength, liquidity and our capital investment strategy. So the current environment we will consider investment opportunities if they offer very attractive returns but as such opportunities our focus will be on sustaining the business through the cyclical downturn and return cash to shareholders as appropriate. So the share repurchase program is which the Board has mandated to $200 million is valid through to July next year and as I said earlier it's been structured such that we will enter the market with certain guidelines.
Jean Cahuzac: I would like to just to add one comment is to remind everybody that our ongoing new build program will be fully completed in Q1, 2016 which will be our major milestone.
Operator: Thank you. Our next question comes from the line of Rob Pulleyn of Morgan Stanley. Please go ahead. Your line is now open.
Rob Pulleyn – Morgan Stanley: Few questions if I may, the first one is if we exclude the 75 million of loss reversal from Guará-Lula because obviously things are going better than expected from last year when you made the provision. Would EBITDA for this year still be above the clean level from last year? That’s the first question. The second question is in the North Sea even after adjusting for that 11 million provision the margin was quite a bit lower than 3Q last year, I was just wondering if you could give some color as to why that was, it's a bit surprising given the high utilization of vessels and the third question if I may, regarding Brazil, excluding the loss reversal it was a fantastic margin in Brazil is that what we should get used to going forward? Thank you very much.
Jean Cahuzac: I'm going to take the question of North Sea and then – to recap I can say that. Regarding North Sea I mean one thing you’ve to remember that to some extent the portfolio of projects that we’re have in the North Sea has changed and we have some EPIC last project EPIC which are successfully being executed like Martin Linge, and but depending upon the project and depending upon the progress in any given quarter I mean you can't have an impact on when are the profit recognized at the bottom line etcetera. So the results of the North Sea are in-line with expectation with a bit of a different portfolio of projects. Regarding the numbers, Ricardo?
Ricardo Rosa: Yes, Jean. I think the first comment on the Guará-Lula project reversal is that you’ve to bear in mind that the reversal is the result of our excellent execution of this phase of project and therefore should not be considered something that you should necessarily add back in determining the level of profitability in the year. This being said if you do make that calculation, our EBITDA for this year net of that still remains in line or slightly above that we have seen or that we registered last year excluding the for life provision [ph]. As far as the profitability in the Brazil is concerned as you know it's in our industry it's somewhat difficult to compare quarter-to-quarter profitability very closely because there is many moving parts and in a relatively small territory like Brazil such moving parts can give rise to certain amount of volatility at the main operating income level. What I can say is that excluding the Guará-Lula adjustment the net operating income in Brazil benefited from a number of positive factors including great high vessel utilization, a full quarter of the Seven Waves which contributed obviously to NOI in absolute terms as well as some non-operational improvements we took some non-operational charges last quarter and as well as some positive close outs on other contracts that had some long tails.
Jean Cahuzac: And more contribution is to be expected for the new build when they start operations in the months and year to come.
Operator: Thank you. Our next question comes from the line of Christyan Malek of Nomura. Please go ahead. Your line is now open.
Christyan Malek – Nomura: Just one question for me, so you mentioned you were fairly comfortable with market expectations for revenue decline in '15 yet haven't addressed what the implications would be on margin, now whether your PLSVs are ramping up and utilization is improving, can you give us even conceptually how you see margins trending over the next 12 to 18 months in the absence of backlog for now but also in the absence of major project awards potentially in H1. What is your base case scenario?
Jean Cahuzac: First if I talk from a general perspective of a margin, we’re working in very different geographical location with different type of project, different type of competition etcetera. So I think I wouldn’t, the profitability that we can get on projects depend a lot of where the projects are, what type of projects are and who is the competition. When we talk about last projects because the number of company which are – executed last project is more limited, there is a bit more room than there is on the small project into the (indiscernible). So we’re seeing and we will see in the months to come operational margins on small middle-sized project in some geographical area such as North Sea of Gulf of Mexico for instance where there is an active competition and more competition than in some other places. The reason why we’re cautious on comments on margin for 2015 is what I said in my reduction, what has changed over the last two months or so is evolution of the price of all going down and it is difficult today to have a good grab on the volume of activity that will be in addition already signed scope of work on existing project as well as on small project which will be awarded to the industry. That’s why we remained cautious but that doesn’t change my comment about '15 that we’re starting '15 on a very sound ground and that has to be take into account when we try to forecast what will happen.
Christyan Malek – Nomura: Well looking further, sort of again on a medium term basis if this trend continues and the project is being delayed, to all extent will operational gearing startup or you know assets transfer in that – can you see your schedule for next two years? You’ve talked about costs being taken out, can you quantify those costs in the next 12 to 18 months and then the second question is around that. Can you talk directly how you see margins moving against your current schedule?
Ricardo Rosa: To first look at project, the last project being delayed which is a fact today and that we seek continuing in the months to come and I cannot imagine a situation where everything is delayed. I think there are some good project today which will materialize. I cannot tell you which quarter but I know that they will materialize and be awarded to the market and I also know that we’re competitive and we will get our share of this market. I can't tell you exactly when. So I may not be as pessimistic as you’re regarding the trend of postponement of these last project but I don’t know. So let's be cautious. Regarding the margins, and the cost I think what we have shown in 2014 is that we have the setup, we have the ability and we have the drive to downsize when we did when market was going down. We have done it quite successfully in Brazil, we’re doing it now in Norway and once we have more indication on projects being awarded or not awarded we will take the same approach in some other location. So it's difficult to tell you today what will be the savings, it depends on what the activity will be. At the same time we do not want to jeopardize our ability today to remain Tier 1 contractor and be very competitive and continue to deliver on the last project which are going to come to this market.
Christyan Malek – Nomura: And just you’re taking a reactive approach to cost management as opposed to putting in a sort of guideline?
Jean Cahuzac: We’re not taking reactive approach. Today we have a plan which I mentioned in my script that we’re considering to release unchartered vessel. I'm not obviously for good reason that you would understand disclose the plan. We have plan that are ready to be implemented when we need to downsize the organization as soon as we have a better idea of what the activity is. So it's not reactive, we’re proactive and ready to push the button when it's needed.
Operator: Thank you. Our next question comes from the line of Frederik Lunde of Carnegie. Please go ahead. Your line is now open.
Frederik Lunde – Carnegie: Couple of questions first of all in terms of CapEx for 2015, how much flexibility do you’ve beyond the new builds and what is your number relative to this year and secondly are you comfortable with a good deal on the balance sheet in light of the overall price and drop in revenue next year?
Jean Cahuzac: I will take the CapEx question and let Ricardo answer to the second question. So regarding to the CapEx, I mean as we have mentioned before, we’re going to complete this new built CapEx in Q1, '16. I mentioned before and I can confirm that this projects are going very well. I'm not expecting cost overrun and I believe that these vessels will be delivered on budget and possibility ahead of schedule. We are in today's market, with the unknown of the market, obviously focusing on optimization of CapEx and removing what I would call discretionary CapEx with taking risk on the efficiency of the vessel downtown and the upcoming performance that we have on downtime on the vessel today but we have removed and continue to remove all discretionary CapEx. So we can limit the CapEx at low level. I think we have indicated in the past that we direct this in fleet which could be downsized if we release more vessels. Our operating CapEx is on a yearly basis around 200 million – 250 million that includes dry docks and expenses during dry docks that amortize. So that’s the type of level that we can probably go slightly below this values but that would give you a range.
Frederik Lunde – Carnegie: Is that number to 250 million, is that something you would target as soon as next year?
Jean Cahuzac: Ricardo, I will let you comment on the numbers but in terms of the approach as I describe which is to lower CapEx besides the CapEx which I already committed that we have to execute, CapEx which was committed to in the previous year with the new build. I mean I can tell you that we’re already engaged in this process but we’ve some commitment on the new builds that we’re going to continue to execute in '15.
Ricardo Rosa:
Jean Cahuzac: We’re just starting the process I wouldn’t conclude anything from the comment.
Frederik Lunde – Carnegie: One more question if I may just on the charting vessels, it seems like 1/3rd of your fleet is sorted in and 10% (indiscernible) expire in '15 another 30 in '16 and last 30 in '17, can you indicate the overall sort of charter cost you’re carrying say for this year and also if there is differences in demand for the various classes of vessels or if you will just talk broadly in charters.
John Evans: Yes, Frederik, you correctly point out we have structured the business around of having a plan of old assets and chartered assets. We have a series of decisions to make around each individual vessel that we actually have and that’s how we will do it and it's really around what we see coming into the market and what on these will be into '16 and '17. I think the key point for us is we do have a good level of flexibility around what we choose to do with those vessels but each one will be done on case by case basis and it will be the decision made on each particular asset in-line with what we have got but we do have the ability to materially change our lease asset based fleet in the period from 2016 onwards.
Jean Cahuzac: I think as we said before, John confirmed, I mean it's more '16 than '15.
Operator: Thank you. Our next question comes from the line of Fiona MacLean of Merrill Lynch. Please go ahead. Your line is now open.
Fiona MacLean – Merrill Lynch: Just want to go to the share buyback, can you walk me through the thought process when you’re looking at choices between doing a share buyback, buying back shares, bond and also assinging the cash to dividend. And then the second question I had was around the upcoming EGM that you have it looks like you’re looking into cancel some of your treasury shares. From memory I don’t think you’ve done that historically. So could you just walk through why you think now is the right time to doing and whether that may cause you any problems in the future given you do have a 2017 converts outstanding. Thank you.
Ricardo Rosa: Thinking each one of the developments in turn, first point I want to make is that the share buyback program landed by the Board $200 million is independent of any repurchase of convertible bonds. So if you like the convertible bond repurchase is a compliment to the share buyback program and not a substitute [ph]. Why did we enter the market for convertible bonds? I mean we have done so as I mentioned when by compare the script we required $46 million at face value bonds and our logic in doing so was that we thought it represented an attractive yield to maturity at the price that they were being marketed. It has the benefit of enabling us to manage our rather two of the profile a little bit. I mean we have a large repayment due in 2017 and from the today's perspective the relatively uncertain future over the coming 2, 3 years and I guess thirdly it's also part of an integrated program of minimizing diluted earnings per share is an area of interest to our shareholders, the discussion that we had. So that’s the logic underlying on that. I do want to emphasize the bond repurchase, I do want to emphasize that we think it's the opportunities for it within the parameters we have established a relatively limited so I don’t think you should expect to see a major repurchase off it in coming months. With regard to your question on the cancellation of treasury shares. As far as I'm concerned I mean shares held in treasury do not fall part of the calculation of earnings per share and that's reflected in our financial statement. However there has been some investors who have treated as they are dilutive and in response to that there is a clear signal from the company that we’re not planning reissue them. We have requested our shareholders at the EGM to approve the cancellation of these treasury shares. We held off doing that because we wanted to see what to see how the value of the 2013 and 2014 convertible bonds developed but now both of that matured we feel comfortable cancelling the shares that we’re holding today in treasury. And just one final question regarding the dividend aspect you continue to run the business without a dividend policy in place at all however the majority of the analyst do forecast you to be paying dividend is that a factor that the Board takes into account when they are looking at how to manage the cash movements and just the cash flow. Thank you.
Ricardo Rosa: Yes it's clearly a factor yes but you’re right in saying that we do not have a policy of paying a regular dividend, the dividend that we have paid have been an annual decision taken by the Board in light of their in the market and the cash position and strength of the balance sheet of the company and that approach has not changed. I can't comment at this stage what the final position will be in 2015 in the early 2015 where decisions are taken by the Board with regard to any dividend payout.
Operator: Thank you. Our next question comes from the line of (indiscernible). Please go ahead. Your line is now open.
Unidentified Analyst: Just a couple of questions, you have been not to specific on '15 for the reasons you’ve provided but should we interpret that you’re relatively comfortable about the 2015 consensus estimates that’s my first question. Second on the AFGOM margin, you seem to be completing some of the lower margin product in your portfolio and rolling over to the offshore phase on some newer projects. Should you expect that margin run-rate to get back more closer to the '13 level of 16% in the near term? Thanks.
Jean Cahuzac: We’re not commenting on consensus, I mean the only thing I can say is that if there was something much early different from what the market consensus would be I mean we have the obligation to obviously comment about it and disclose things and we’re not doing it but I'm not commenting specifically on consensus but you can be sure that if there was something I would be uncomfortable with we would talk about it.
Unidentified Analyst: Do you expect to provide the guidance for 2015 later in the year?
Jean Cahuzac: Try to ask me the question two months ago, I thought we would be more specific in '15 what has changed is if price of oil going from $100 to $80 which is raising questions and we’re in active discussion with our clients, there are some service known on that what's been happening in terms of increase of work on existing job as well as some small jobs in North Sea. So as soon as we know more we will talk a bit more about it, but I think it's a bit premature, but as I said before we have some base for '15 and I'm confident that we will continue to operate and perform on the project very well. So I'm not that’s all I can say on '15. Regarding the AFGOM margin, I mean yes a number of projects are going to come to operation in 2015 and that was included in my comments on the fact that we have good projects in our existing backlog. We found some margins but the overall margin in AFGOM would also be influenced on what will happen on the conventional and also our ability to find work for some of the vessels on the conventional which today have not felt more like the (indiscernible). So again I'm cautious.
Unidentified Analyst: If I can just finish with one last question, the amount of escalation on already existing project you mentioned that was low in the quarter. If this is all due to the kind of weaker cycle that we’re seeing in the industry and hence we should expect that kind of run-rate in the near term going forward or was there a specific issues that depressed this quarter and we should expect that to normalize somewhat over the coming quarters. Thanks.
Jean Cahuzac: One of the factor which depressions in Norway, we have seen significant decrease of activity in Norway driven that all but having also an impact on those operators. I think Norway will recover but not maybe in the coming quarter or so. I would be cautious on that but again when you look at order intake on the quarterly basis I mean you can have up and down but I think overall in short term I would say that we’re not going to be at peak order intake, I don’t think we would assume that. Peak order on the existing projects, I think there will be a slowdown in the very short term on order intake in existing project in the North Sea in particular and in Norway.
Operator: Thank you. Our next question comes from the line of Dave Thomas of Credit Suisse. Please go ahead. Your line is now open.
Dave Thomas – Credit Suisse: I have got couple of questions please, firstly to Andrew's first question really about 2016 and I understand the reluctance to comment on that but could you perhaps provide a breakdown even if it's just roughly on $4 billion worth of backlog for 2016 and beyond, of that what proportion approximately is for execution in 2016? That’s the first question and then secondly, on the U.S. Gulf of Mexico I'm intrigued by the comment you make on page 14 about the increased number, small and medium sized SURF projects in the Gulf like to awarded but that doesn’t seem to gel with the change in oil price over the last three months, so perhaps you could comment on what your clients are actually indicating for 2015. Thank you.
Jean Cahuzac: We’re starting from a low level in Gulf of Mexico but we have seen some improvement, aren't we John?
John Evans: Yes, it's fair to say there are a number of projects out there at the moment with both independents and international oil companies out in Gulf of Mexico which we’re actively bidding and some of them were in detailed discussions with them at moment, so we’re seeing that trend continue to move ahead for us at the moment and there are some projects, as Jean said will come to market over the next three months which is why we’re comfortable in speaking to our clients, we will go ahead and get sanctioned.
Jean Cahuzac: And regarding '16 as we said before I think it's really premature to talk about '16.
Dave Thomas – Credit Suisse: But I think the question is just can you actually just say off the 4 billion could you just give, is it 50:50, 75:25, '16 and then '17 and beyond that was really the question.
John Evans: We don’t usually guidance of the content of backlog other than to indicate what we expect to execute in the following year, in other words 2015 and '14 and then beyond, but what I can say obviously 2016 is the proportion of that backlog will relate to the multi-year contract to the PLSVs and some IRM work and also projects that will extend into those years and that’s as far as we’re going.
Dave Thomas – Credit Suisse: Just to return to the first question then¸ can you just comment whether you have seen any change of behavior of your clients in the last three months as oil prices come down by 25% particularly in this Gulf of Mexico question and the fact that you're saying you've had a number of conversations with people. Have they actually continued those conversations or any indication of pushback?
Jean Cahuzac: No, I think it's probably fair to say that the approach of the clients varies a lot, depending upon who the client is, and some cases take a more aggressive position on the risk sharing. Our position there hasn't changed. We have our reference and we don't move our reference and we accept projects only with the right risk profile. And I think what we are seeing is we can be successful with our approach. We haven't seen a specific problem in the Gulf of Mexico. I think, overall, the relationship with the clients in the Gulf of Mexico is very good and there is no change of attitude, even now with the price of oil going down. John?
John Evans: Yes, as Jean said in his commentary earlier, where we have seen discussions with our clients is in Asia. We saw Gendalo-Gehem, where we were the publicly declared lowest bidder. That project did not proceed. We know that publicly there are discussions about gas prices in India, which have an impact on some of the Indian projects. And it's been very clear in Norway that Statoil are slowing down any form of investments and that's had a knock-on to not just Statoil pure projects but some other people as well. So the Gulf of Mexico conversations are continuing and we haven't seen any material change in those conversations.
Operator: Thank you. Our next question comes from the line of (indiscernible). Please go ahead. Your line is now open.
Unidentified Analyst: Just very quickly, can you comment on your discussions with Petrobras about the next wave of projects, what sort of timeline this relates to and what size of opportunity we're talking about? And just quickly on Life-of-Field work. We've heard a lot of noise on majors cutting on operational cost. Have the discussions changed on the Life-of-Field work? Thank you very much.
Jean Cahuzac: John, on the Life-of-Field and then I will come back on Petrobras as a conclusion.
John Evans: At the moment, no, we're not seeing any fundamental changes on the Life-of-Field discussions we're doing with our clients. You need to remember a lot of our Life-of-Field work is in reasonably highly regulated places like the UK, where the optionality as to what you choose to do with maintenance and statutory inspections and things isn't necessarily there for them. So the Life-of-Field activities continue to give us a certain workload. The challenge we sometimes will see, I suspect, in the future is that sometimes that spins off into CapEx, where sometimes there's some discretionary CapEx that our clients decide maybe to do or not to do, based on what they've inspected and based on what they've seen.
Jean Cahuzac: Regarding Petrobras, what I was referring to is the number of FPSOs which are going to be installed on the pre-salt field and the fact that you may remember that we said a number of months ago that we wouldn't actually proceed with such projects with the risk profile which was in place at the time. There's a clear message from Petrobras that they want a company like Subsea 7 to participate in this growth of activity in Brazil, both for flexible pipe and rigid pipe, and also an acknowledgement that a more balanced risk-profile contract needs to be put in place and that's what I was referring to. And I think we're making progress and I think we understand each other and I see opportunities for Subsea 7 in Brazil in deepwater. We're talking about post 2015. All these projects are not going to materialize in 2015, so it's post 2015, 2016.
Jean Cahuzac: Well, I think we can close now the earnings call. I would like to thank everybody for participating to this call and look forward to discussing at our next earnings call. Thank you. Bye.
Operator: This now concludes our call. Thank you for attending. Participants, you may disconnect your lines.